Operator: Welcome to the Third Quarter 2012 The Andersons Inc. Earnings Conference Call. My name is Diana, and I’ll be the operator for today. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session (Operator Instructions) As a reminder this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today Mr. Nick Conrad, Vice President of Finance and Treasurer. Please go ahead.
Nick Conrad: Good morning everyone and thank you for joining us for the Anderson Inc’s 2012 third quarter conference call. We have included a slide presentation that will enhance our talking points this morning, if you’re listening and watching this presentation via our website, the slides and audio aren’t sync, for those listening via telephone or watching the webcast you will need to follow directions set to you to order to seek the slides and the audio. This webcast is available through the investor section of our website www.andersonsinc.com. The webcast is being recorded and will be available on our website. As you know certain information that will be discussed today constitutes forward-looking statements. The actual results could differ materially from those presented in the forward-looking statements as a result of many factors, including general economic conditions, weather, competitive conditions, conditions in the company’s industries both in the U.S. and internationally. And additional factors that are described in the company’s publicly filed documents including its ‘34 Act filings and the prospectuses prepared in connection with the company’s offerings. It also includes financial information which the company’s independent auditors have not completed their review of yet. Although the company believes that the assumptions upon which the financial information and its forward-looking statements are based are reasonable, it can give no assurance that these assumptions will prove to be. On the call today with me are Mike Anderson, Chairman and Chief Executive Officer, Harold Reed, Chief Operating Officer and John Granato, Chief Financial Officer. Mike, Hal, John and I will answer the questions you have at the end of the prepared remarks. Now, I’ll turn the floor over to Mike for an opening comment.
Mike Anderson: Thank you, Nick. Company had a strong quarter. Rail Group had record quarterly earnings for the third quarter in a row. The Grain Group also did well as it benefited from an early harvest and record earnings from its investment in Lansing Trade Group. Company paid a 64 consecutive quarterly dividend on October 22 of $0.15 per share. Before we review the performance results, I would like to specifically highlight some accomplishments in 2012 that demonstrates company’s continues commitment to grow. The Grain Group announced last week, there’s an intense to purchase the majority of the grain in the ground of the assets of Green Plains Grain Company, LLC. This purpose for expansion in our core operating space due to largest acquisition in the company’s history and we’ll include seven facilities in Iowa and five in Tennessee with a combined grain storage capacity of approximately 32 million bushels, dry fertilizers storage capacity of 12,000 tons and liquid fertilizer storage capacity of 18,000 tons. September the Grain Group also open its 3.8 million bushel unit train loader in Nebraska. In May, the new ethanol investment affiliate, the Andersons Ethanol LLC acquired an existing 55 million gallon ethanol plant in Iowa that also included 2.7 million bushel grain elevator. The Plant Nutrient Group acquired New Eezy Gro, an Ohio based specialty agricultural and industrial nutrient company earlier this year. This group also completed a major capital build this year in its Maumee, Ohio location and improved both, its formulation capability and efficiency. Rail Group has expanded its fleet and its rail cover of pure business this year and is also just broken ground on the state-of-the-art railcar blast and paint facility in Maumee, Ohio. The Turf & Specialty Group also just completed an acquisition of type of Mt. Pulaski Products, which will allow that group to double the size of its cob business and increase sales of its proprietary products. This is a long list and we are continuing to explore additional expansion and acquisition opportunities. I will now turn this over to John, who will provide details of the total company results.
John Granato: Thanks, Mike. Good morning everyone. The company generated net income attributable to The Andersons, Inc of $16.9 million in the third quarter or $0.90 per diluted share and revenues of $1.1 billion. In 2011 net income of $10.9 million was reported or $0.59 per diluted share on revenues of $939 million. Through September, total net income stands at $64.5 million or $3.43 per diluted share. In 2011, net income for the first nine months was $73.4 million or $3.92 per diluted share. Total revenues through September were $3.6 billion and total $3.3 billion for 2012 and 2011 respectively. Now to a non-GAAP measure, EBITDA; earnings before interest, taxes, depreciation and amortization, EBITDA for this quarter was $44.3 million, which was up $13 million from the same period in 2011. The third quarter’s pre-tax earnings included $6 million in equity and earnings of affiliates a decrease of $3.7 million from the same period last year. This was a result of a $6.5 million decrease in income from the company’s investment in its Ethanol LLC, which was partially offset by $2.7 million increase in the investment income from Lansing Trade Group. Through September, the company’s EBITDA totaled $152.7 million, a decrease of approximately $12 million from the same period of 2011. Equity in earnings of affiliates through September totaled $15.4 million compared to $29.5 million for the first nine months of 2011. Interest expense for the third quarter 2012 totaled $5.5 million down $200,000 from the same period of 2011. Through September, the company’s interest expense totaled $16.2 million down $4.4 million from last year. Third quarter short-term borrowings increased $218.1 million in comparison to the prior year. During the third quarter the company had short term of investment averaging $14.8 million. The company’s effective tax rate for the third quarter was 37.6% up 9.1% from the prior year rate of 28.5%. The increase in the effective tax rate was due primarily to lower benefits related to domestic production activities. And to income or loss attributable to the non controlling interest that do not impact income tax expense. The company is projecting a 37.75 tax rate for 2012, the company’s actual 2011 effective tax rate was 34.5%. The rate differential from year-to-year is due to the same reasons noted for the quarter. The bridge in this next graph demonstrates which group’s income is up or down this quarter in comparison to the prior year. The specifics behind these differences will be detailed as each group’s operating performance is discussed. Therefore to better understand the total company results, Hal will walk you through each of the six business groups. Hal?
Harold Reed: Thanks, John. Let’s start with the Grain Group, which reported operating income of $10.8 million this quarter versus $8.3 million a year ago. The group benefited from an early harvest which resulted in higher gross profit on sales in comparison to the prior year. Space income was down considerably for the quarter as expected. Group benefited this quarter from record earnings from its investment in Lansing Trade Group. Grain Group revenues for the quarter were $677 million, which is up from the $539 million reported in the prior year. This revenue increase is due primarily to an increase in the number of bushel sold. It was also impacted by increase in the average price per bushel. The Grain Group’s operating income through the first nine months of 2012 was $45.5 million and revenues were $2.1 billion. Comparatively, the group’s operating income through September last year was $60 million on revenues of $2 billion. The year-to-date numbers are positively influenced by the consistent results of Lansing Trade Group this year. Conversely, space income in 2012 is substantially lower than 2011 as the wheat space income received last year was not typical. As of the 5th of November harvest for corn and soybean is 95% and 93% complete respectively. In comparison the harvest was later last year. Corn was 85% harvested and soybean is 91% harvested at the same time. You can see the early harvest reflected in both the Grain Group’s financial results and in the bushels in inventory as a September 30th which are up 29% in comparison to the prior year. Now let’s discuss the Ethanol Group, which had an operating loss of $900,000 this quarter. In comparison the Group had $4.4 million in income during the same period last year. The lower income is the result of decreased earnings in the Ethanol Limited Liability Companies. The LLC is continue to be negatively impacted by lower ethanol margins resulting from increased corn cost and lower demand for ethanol in both the U.S. and export markets. Revenue this quarter was $210 million, up from the $179 million for the same period last year. This revenue increase was due to the addition of the Denison, Iowa ethanol plant in May 2012. Through September the Ethanol Group has reported an operating loss of $2.9 million and revenues of $528 million. In 2011, the Group’s operating income for the same period was $16.8 million on revenues of $477 million. During the first nine months of last year the Ethanol LLC benefited from favorable margins which was – has not been the case this year. Partially offsetting the Group’s lower margin our service income and income from co-products, such as E-85, DDGs, corn-oil and CO2. During the later part of September, the Ethanol Group shutdown both the Clymers and Greenvile plants for five days each as five margin weaken to a variable production returns, sellable variable cost. The Ethanol team continues to monitor shutdown economics by plant and will make those hard decisions if and when it is The Necessary. The Plant Nutrient Group’s third quarter operating income was $800,000 on revenues of $135 million. In the same three month period of 2011, the group reported a $6.6 million operating profit on $138 million of revenues. Volume increased modestly in the third quarter in comparison to the prior year. Margin in the third quarter was soft and more in line with the historical norms; whereas the prior year’s margins were significantly higher, primarily as a result of Nutrient price appreciation. The group has appropriately managed its nitrogen, phosphate and potassium ownership position going into the last quarter of the year, in order to reduce the risk of lower of cost or market losses. This year, the Plant Nutrient Group has earned operating income of $34.5 million through the first nine months on $619 million of revenues. Last year, the group generated operating income of $35.8 million on $521 million of revenue. This year-to-date revenue growth is due to both higher volume and an increase in the average selling price. The Rail Group reported record operating income of $19.1 million this quarter on revenues of $60 million. Last year, the group reported $1.1 million of operating income, on revenues of $24 million. Revenues were up this quarter due primarily to the increase in non-recourse transactions. This is when we sell cars to a financial company and then provide car management services to the purchaser. In these types of transactions, we typically hold an option to purchase the railcars back at the end of the assigned lease period. This quarter the group recognized $13.5 million in gains on sells of railcars and related leases and non-recourse transactions, which is significantly higher than the $700,000 recognized last year for similar transactions. Gross profit from the leasing business was significantly higher due primarily to an increase in the average lease rate, which has risen in each of the last six consecutive quarters. The average utilization rate for the quarter was 84.3%, which was down slightly from the 85.1% reported in the third quarter last year. Through the first nine months, Rail Group has record operating income of $34.3 million and revenues of $128 million. In the same period of 2011, operating income amounted to $7.4 million and revenues were $82 million. These results through September include gains on sales of railcars and related leases and non-recourse transactions of $22.2 million. This compares to $7.7 million for similar transactions during the same nine-month period of 2011. The year-to-date results for the repair business are more than doubled 2011 results. The group has approximately 23,400 cars and locomotives, which is up approximately 1100 cars from its year earlier total. The utilization rate as of the end of September, was up slightly, was 84.5%, up slightly from the quarter average of 84.3%. The Turf & Specialty Group had an operating loss of $1.6 million this quarter, on revenue of $22 million. Last year the Group reported a loss of $1.2 million on $23 million of revenue. Turf product tonnage was down and margin per ton decreased slightly due to product mix. The cob business this quarter continued to show good profitability as a result of increased sales of its patented products. With the acquisition of Mt. Pulaski Products last week, the cob business has now doubled their capacity, which will allow for increased sales of its proprietary products. Through September, the Group’s operating income was $3.4 million on $110 million of revenue. In the same period of 2011, operating income was $3.8 million and revenues were $112 million. The retail group had an operating loss of $1.8 million on revenues of $35 million in the third quarter. In 2011 the group had an operating loss of $1.2 million and revenues of $36 million. The Group’s year-to-date operating loss is $3.1 million, $110 million of revenue, through the first nine months of 2011 the operating loss was $2 million and revenues were $112 million. The Group’s customer counts have decreased slightly, however the average sales per customer has increased slightly. Now, I’ll turn the floor back to Nick for the Treasure’s report.
Nick Conrad: Thanks, Hal. Turning to the balance sheet, net working capital at September 30th was $253.4 million, a decrease of $62.5 million from last year’s third quarter. As of September 30, current assets totaled $1.2 billion, an increase of $321 million from September 2011 ending balance. This change was driven primarily by an increase in inventories of $682.3 million as of September 30 a net increase of $224 million over September 30, 2011. Increases in Group inventories accounted for the majority of the increase. In addition, there were increases in cash and cash equivalence of $30.1 million, accounts receivable $40.4 million and commodity due to assets current was $23.3 million. Under current liabilities, borrowings under short-term line of credit as of September 30, were $275.5 million, compared to $105 million at the same time last year. Total assets as of September 30 were $2 billion, an increase of $532.9 million, from the 2011 third quarter ending balance. There have been significant additions to property, plant and equipment in 2012. The company has spent a total of $93.1 million on these acquisitions for the nine months ended September 30. Other capital spending, our property, plant and equipment through third quarter 2012 totaled 57.8 million versus 29.6 million through 2011 third quarter. The Railcar purchases and sales were 102.9 million and 57.3 million respectively through September 30. Railcar purchases and sales for the same 2011 period were 38.4 million and 19.8 million respectively. Long term debt totaled $312 million at the end of the third quarter; an increase of 76.7 million for 2011’s third quarter ending level. Our total long term funded debt to equity was 0.5 to 1. The company’s third quarter 2012 average interest rate for all long term debt was 4.5% versus 5.4% for the same period in 2011. Year-to-date September 30 the average long term interest rate was 4.9%, which is down from last year rate of 5.4% for the same period. Total equity on September 30 was $602.4 million and increase of $70.4 million from the same period last year. Finally we continue to see good support from our banks. As of September 30 total lines credit available under the company’s syndicated facility were $850 million 735 million of which was short term and 150 million of which was long term. We continually monitor our current and future borrowing needs and at this time feel the existing lines of credit are adequate. Each of the recent periods of grain price volatility have played out definitely in terms of influencing our borrowing needs. We are pleased to our existing line has been and continues to be more than adequate. Mike will now cover few more points before we take questions.
Mike Anderson: Thanks Nick. As noted in the press release, we had a good quarter. Our expectations for the remainder of the year however are still tempered by the drought which will continue to impact results of both our Grain and Ethanol Groups through the first half of 2013. Further some of the operating profit that was typically be seen in the grain group in the fourth quarter was recognized in the third quarter due to the yearly harvest. Last quarter we told you to expect our grain group have a loss in the third quarter due to an anticipated decline in space income. We would right about the decline in space income then ended up with higher profitability due to the early harvest and significant positive performance of Lansing Trade Group. In addition, all the onetime cost associated with the acquisition of Green Plains Grain Company, LLC, will be expensed in the fourth quarter. Due to these factors we now expect the Grain Group’s fourth quarter earnings to be significantly below the prior year’s results. We expect the current situation in the Ethanol Group to continue and therefore we expect the Group to have a loss in the fourth quarter. Due to the continued good leasing environment we anticipate the Rail Group’s base business in the fourth quarter will be substantially higher in the prior year. But we would not expect gains on sales to be anything like third quarter. Rail Group has done a great job this year optimizing and managing their fleet portfolio. For the other three groups, we expect more typical fourth quarter earnings. During the second quarter conference call I gave you a detail outlook for the first half of 2013. I want to reiterate a few key points that I previously mentioned. First, we continue to feel the phase income in bushels handles in the Grain Group will be doubt the first half of the year due to the drought. Conversably, the dislocation and disparity of supply and demand could allow favorable arbitraging and merchandizing opportunities for both us and Lansing Trade Group. You’ve seen in 2012 that Lansing Trade Group can profit from above the market based on their business model. We still anticipate the Ethanol Group having a tough first half in 2013, as a result of an oversupply of Ethanol and because of the drought which has led to high corn prices and regional corn shortages. We feel that next year, the industry could be dealing with periodic shutdowns of plants that are poorly positioned as local corn supply shortages or of other operating and margin challenges. We will continue to consider the cash flow provided by the ethanol business. We’re making decisions in regards to the Ethanol Group. We remained bullish on Plant Nutrient volume and margins as we look to next year. It’s possible we may see another record planning year for corn and that would be quite positive for us. In addition, the outlook for our Rail Group also looks quite good. It’s important to note however, that this first half 2013 outlook is based on our unformed opinions. The course actual comps can vary based on numerous variables. Like then by simply saying, I’m pleased with our company’s performance especially given the drought that has impacted our earnings. Our purposeful growth in fundamental industries for last five years has demonstrated our ability to make good investments, appropriately integrate them into our company and grow our income as a result. We realized our full-year earnings in 2012 and 2013 will be impacted by the drought. However, our recent and planned growth has the potential to allow us to achieve new earnings records in the future. That concludes our prepared remarks. Hal, John, Nick and I will now be happy to answer any questions you have. So Diana I will turn it back to you.
Operator: (Operator Instructions). The first question will come from the line of Heather Jones, BB&T Capital Markets. Please go ahead.
Heather Jones – BB&T Capital Markets: Good morning.
Mike Anderson: Good morning, Heather.
Heather Jones – BB&T Capital Markets: Congratulations on that quarter.
Mike Anderson: Thanks, Heather.
Heather Jones – BB&T Capital Markets: I have a number of questions but I wanted to start with Rail. Mike, you mentioned that you don’t expect gains on sales to approximate what you saw and Q3 going forward. But year-to-date like you noted in the press release gain on sales have represented two thirds of Rail earnings, where as if we – we went back and look at other years and some years is more like a third to 40%. So when you say you don’t expect it going to forward to approximate Q3, or are we going to get back to normal levels, or is it going to still be elevated but just not to the extent of Q3?
Harold Reed: Heather, this is Harold. How are you?
Heather Jones – BB&T Capital Markets: Good. How are you?
Harold Reed: I am good. Thanks. Thanks for the question. Clearly, Q3 is an out wire. I mean if you look at all kinds of history. So Q3 was the reference point and we certainly don’t expect that kind of level to continue. We do expect there to be normal opportunity in the business going forward as there has been much more activity as the economy has picked up in the last year. So Q3 bit of an out wire but a normal level of activity is what we would expect going forward.
Heather Jones – BB&T Capital Markets: And when you talk about 23 – 2013 continues to strengthen Rail, I mean if I take out the year-on-year change in gains, it’s obviously year-on-year improvements and the Rail repair, Rail leasing has been strong. So when you are looking at 2013 and talking about a strong year, we are talking about more like ‘07, ‘08 type strong year, are we talking about a repeat of 2012?
Mike Anderson: The leasing business has been on a strong increase as our numbers of cars have increased, our lease rates have gone up, so the base leasing business, which is there month-to-month has shown strong and steady increases for a number of quarters. That clearly is on the upswing, we expect that to continue. We do not expect like I said, the third quarter profits and loss to be quite as it was, but the opportunities from financing are probably above normal at this point in time. There has been a bit of pent-up demand in the last couple of years as the industry has contracted a bit. So, we’re expecting to see the base business pickup. And as we said, we’ve grown that rail repair business over the last few years and at this point in time it’s more than double the previous year. So, we expect that to continue to grow as well.
Heather Jones – BB&T Capital Markets: Okay. Going back to the comments on – let’s talk about Q4 first, down substantially and when you talk about Grain Group, are you including Lansing in that or are you talking about just Andersons’ Grain Group?
Mike Anderson: That is including both.
Heather Jones – BB&T Capital Markets: Okay. And down substantially, I mean do you define 10 percentage substantially or substantially – I guess some color around that?
Mike Anderson: Yeah. In the last quarterly conference call, we indicated we thought it could be reasonably close to year ago. And I’m not going to define a percentage for that, but if you look at – and we also said we thought we have a loss in the third quarter and it turned out we had a profit in that quarter. It was primarily because of movement from fourth to third, so you take movements from fourth quarter to third quarter, you take less portions, less carry, you take in reference the expenses that will incur which we’re playing for used investment bank or so little bit more than normal, substantially would be quite a bit more than 10% drop from a year ago for the group in total. I’ll not give more color than that.
Heather Jones – BB&T Capital Markets: Okay. And going back to your Q2 call, I think if I remember correctly, you all had thought maybe the situation with carry relationships from the futures market would improve, and it doesn’t look like it’s improved that much. So I mean is it fair to characterize that as worse thing you all originally thought?
John Granato: Well, first of all, I think the front-end wheat market carry has clearly improved and some of the diverse press maybe a little bit less than inverse. But the front-end carry has clearly improved and we – there is a little bit of carry in the front-end corn market at this point in time. So I think probably from the last call things may be a bit better, but clearly in wheat they are better. We’ll have to see how that plays out at this point in time. But at least that one piece is probably better than what we have looked at earlier.
Heather Jones – BB&T Capital Markets: Okay. And then my final question is you mentioned in the dislocation and (inaudible). Is – do you think there’s opportunities are enough to offset the negative impact of lower volumes and issues with carry in the first half of 2013?
John Granato: I would say no.
Heather Jones – BB&T Capital Markets: Okay.
Mike Anderson: It’s unlikely that we could take those and fertilize them into the kind of gross profit generated by a big carry market, but it’s a reasonable offset to work on.
Heather Jones – BB&T Capital Markets: Okay. All right, thank you very much.
Operator: Your next question is from the line of Ken Zaslow, BMO Capital Markets.
Ken Zaslow – BMO Capital Markets: Hey good morning everyone.
Mike Anderson: Hey Ken.
John Granato: Hi, Ken.
Harold Reed: Good morning.
Ken Zaslow – BMO Capital Markets: Can you talk about this VSR and how that will actually impact your outlook going forward?
Mike Anderson: Well the VSR was a very nice benefit over the past couple of years we are down I believe one tick now, so it’s not substantially different from the normal that people would consider will carry in the futures market. So, at this point in time, we don’t see the VSR playing a big role probably at least until we see the next crop come off and we see a lot of competition for space. So, VSR shouldn’t be a very important aspect of it at this point in time.
Ken Zaslow – BMO Capital Markets: Okay. So, when you see that Lansing earnings been improvement I can and I think about is every quarter you have to re-earn basic stocks that’s there you have to re-earn under every single quarter. So, it would be a record this does that give you more kind of insight does it change how you think about for next year I know you guys said that there should be a lot of dislocation opportunity if Lansing can make money but it’s not, is it earnings are on top of what they earned this year or is it or we setting up the numbers for next year how do you think about them and how should we think about that?
Mike Anderson: Yeah Ken this is Mike, actually I really liked that question, because it gives us I think a chance to reiterate again the Lansing model as it’s got multiple problems. One they don’t bring elevator space not nears of percent only much smaller percentage compared to the mix that we do. This year they happen to be in the facilities that they have in South and the West and mid-West and had been in areas where they have really good crops. And so that piece of the earning continues strong. Then they have at the other end of spectrum they have proprietary specular training which I see very much as the resetting the plot and starting over. Mark to market everyday and that’s a relatively small, it’s important but relatively small percent. Then in the middle you have the bulk of what they do, which is in merchandising and supply-chain company where they have long-standing relationships developed over the life of their company which is frankly older than ours. Some of the relationships are older than our company has been around, where they are originating grain. They are the prime originator from elevators and from producers. And they have long-term relationship with the sale side that they also sale too, manage the between then they also will merchandise and trade and take advantage of spot opportunities in the market, both heavily in the U.S. but also overseas. So there is element of that supply chain merchandizing that is not starting over. It’s – they handle the flow of grain and feeding ingredients and products from origin points to destination points. Now it’s not just there is a guarantee build in margin all the time but there is a strong element of supply and demand as they – there is a base fundamental piece of their business, which is one a reason why you see this ongoing track record of healthy earnings. Having said that to the extent, there on the right side especially of the basis market, because they do very well flat wise trading in that middle piece. Or the wrong side they are acting of fast to move up or down from what I call that means. But it is not starting over fresh every day.
Ken Zaslow – BMO Capital Markets: Okay. So you could actually grow earnings next year in the Lansing Group?
Mike Anderson: We have the potential to do that. They have the growth as part of their other mile – this has been through nine months a very good year, if I take kind of the base earnings, they’ve added to that with a lot of good decisions and lot of good execution. And so, the ability to repeat next year is a possibility, but I wouldn’t sit here and say for sure, it will happen, but it just really pleased with the job they continue to do and our role being partner with them.
Ken Zaslow – BMO Capital Markets: Is it maybe a – but if you – if all your leases sort of the rail price, if all your leases expire today then you put all your Railcars, how many Railcars would you actually have? I mean is that the way to think about, how much you can keep on churning some of the profitability, is that the way to think about it, maybe overall, but....
Harold Reed: Hey, Ken, this is Harold. Just the couple of things to clarify what the number of cars on the fleet, is 23,400 roughly. And so I guess that’s the proper answer your question. But again, obviously we’ve got a portfolio approach to all that and just to clarify maybe two points we discussed earlier, when we do these non-recourse transactions as we said in the press release, we typically then not only do we have a management contract to provide services, but we typically also have an options still on those cars. So that’s – it doesn’t go away just because of that transaction. And we do expect financing opportunities to continue to be a bit above normal as they have been this year. So, again I think that’s a good prospect in that business.
Ken Zaslow – BMO Capital Markets: So that 23,400 cars you have, what percentage of those can you resale quarter-by-quarter, like how do I think about that? I guess, its right, that’s the why we think about it? Like, what can you actually sell of those over the – it only seem like parks about 100 to 200 cars which are making up $50,0000 or 50,000 to 100,000 on the gains. I guess, can you give us, how much of the this car – how much of this revenue can keep on coming for the next foreseeable future?
Mike Anderson: Yes. Ken, every cycle is a little different. From 2005 to 2008, we had a higher concentration of gains on sales through financings in 2005 and ‘06 and by 2008, the bulk of the income in the Rail Group is coming more on the traditional kind of spread income. I can’t predict what will happen in ‘13, in ‘14 and ‘15. But we feel good about the financing opportunities as Hal said earlier. And I think that continuous to be something that is positive for us. John, would you make any additional comments on that.
John Granato: I would say, Ken, we – the way I think about it is really continuous flow of portfolios which we look at to acquire and then lease and we’re also looking at opportunities to finance those portfolios at the same time. So it’s very hard to say stop, the way you describe it. It really is about a continuous flow. And I think if you look we have continue to add railcars to our fleet over time and the vehicles we use allow us to do that by sharing some of the risks with financing partners as well as continue to make a spread. So hopefully that helps.
Ken Zaslow – BMO Capital Markets: Yeah. I really appreciate. Thank you very much.
Operator: Your next question comes from the line of Brent Rystrom, Feltl. Please go ahead.
Brent Rystrom – Feltl: Good morning. Just thinking about loan – from a scenario perspective, from a best case perspective for next year, would a robust recovery in yields be best for your long term recovery in earning with a rebound but naturally a robust rebound in yield be better? I mean how do you view the crop next year and how will it drive second half beyond our expectations?
Mike Anderson: Yeah. Couple of things, first of all there is the crop side and the economic side. Obviously, robust economic recovery helps a lot of things, world demand and a variety of things but also our Rail Group in the utilization of that fleet. The bigger the crop, the better it is for us in a very simplistic terms, so from a Plant Nutrient side, from a supply and demand, from a carry perspective, or the carry markets or at branch sides, a big recovery in the crop in normal weather for a change would really be good.
Brent Rystrom – Feltl: And then just a follow-up question to that – not a follow-up to that, a follow-up question to your comments about the ethanol business and difficulties through summer mixture which I think is expected to understand. Would it be simplistic to say that the difficulties are toughest for the ethanol business in the Eastern Corn Belt i.e. given the difficult with the drought in that region or is it pretty widespread as you look at it at your various facilities?
Mike Anderson: Yeah. No, I would tell you it’s pretty widespread. The U.S. core market and U.S. ethanol market are both very efficient transportation and pricing and are also in the world market. So I think it’s pretty evenly shared. It’s based on having the you know the best operating plant. The better plants that operate well that have the co-products that will offer additional revenues, those are the plants that will do better and that’s really the differentiating factor not quite so much the location.
John Granato: Yeah, I’d just add one element to that and it’s not as much east and west, it’s more dropped 50 mile radius around any ethanol plant and right in that spot how good were the yields there because local availability of corn will have an impact on bases and bases irrigations are going to be much greater this year abnormal. So, take Iowa, Iowa has some spots of good production and some spots of terrible production. Take two really good technologically producing plants and one’s got good production nearby and one’s got bad and you got the economics of the corn supply in bases that has hailed that the ethanol oversupply situation kind of its overall there.
Brent Rystrom – Feltl: All right. Thanks guys.
Mike Anderson: Thanks.
Operator: Your next question comes from the line of Farha Aslam, Stephens Inc.
Farha Aslam – Stephens Inc: Hi, good morning. Can you hear me?
Mike Anderson: Hi, Farha.
John Granato: Yeah.
Harold Reed: Good morning, Farha.
Mike Anderson: Yeah.
Farha Aslam – Stephens Inc: So going back again to rail, because it’s been so exceptional; would you think that the fourth quarter and into next year like the opportunity set is closer to what you experienced in the March and June quarters of this year admittedly September being exceptionally good if we had to think about it?
Mike Anderson: I think we – like – we’ll try to reiterate again that we expect the opportunities going forward to be better than normal, all right, for the coming quarters, but not certainly not as good as the third quarter, though.
Farha Aslam – Stephens Inc: Yeah. But you think that would you say March and June quarters were good or should we expect it to be even better than the first half of 2012?
Mike Anderson: We would expect them to better than the first two quarters?
Farha Aslam – Stephens Inc: Okay.
Mike Anderson: Going into the fourth quarter and next year.
Farha Aslam – Stephens Inc: Okay. That’s very helpful. And then on Grain, admittedly you have one time charges with the Green Plains assets, but in terms of Lansing Trade Group, could you share with us was it the early harvest that really drove their results or was it railcars that they do railcars as well. Just some more color about what made the third quarter so exceptional at Lansing?
John Granato: First to answer the question, they don’t do railcars. They operate railcars but they don’t lease railcars. They – as Mike said their locations or probably in some of the better spots possible to the drought that help them. Its good large harvest and the early harvest did help them partially because of the volume but also partially because they take advantage heavily of arbitrage opportunities from their locations and mesh that together with their merchandizing business and try to – try to multiple if you will the effect of the early harvest and the arbitrage opportunities. So there were a lot reasons where they had such good third quarter.
Farha Aslam – Stephens Inc: And so Lansing tends to have elevators that are little bit further soft compared to the Andersons core. Did your core Andersons benefit – how much of it do you think the harvest you took in early in the third quarter versus what you will experience in the fourth quarter?
John Granato: Well, I think, Mike indicated we had a probably a fairly substantial amount of income that move from the fourth quarter into the third quarter in the Andersons asset portfolio and that was due to the early harvest.
Mike Anderson: Yeah. Just one look at – I am just looking at couples statistics. We had out – close to 40% increase in sales, bushel sold this year in a third quarter versus last year then grain inventory was 55 million bushels on one of the slides at the end of September versus 42 million last year. Wheat was in both numbers as a base. But that’s kind of that 12 million bushel increase and we were shipping grain too and taken about the amount of grain that was coming near. So we have big increase in bushels handle and the total crop between September to December smaller. So you can project a disproportion of negative impact for October, November, December.
Farha Aslam – Stephens Inc: Okay. My final question is cash basis opportunities versus your normal carry income. Could you just way the two opportunities just again see each other for both the current fourth quarter as well as going into next year?
Harold Reed: Well, again the front end wheat market carry is offering some reasonable opportunities more than has been in the past with the corn carry limited just a few sand. So better than it was early on, but fairly limited. And so the opportunity for carry, I guess, since the last call has improved a bit. And so, and we’re hopeful that we’ve realized the opportunities and we may continue to roll forward a bit.
Farha Aslam – Stephens Inc: But how about the cash, is there opportunity to...?
Harold Reed: There is really in the cash market and that – that these localized supply and demand issues were the arbitrage opportunities and differentiation between different freight opportunities allows for the arbitrage. So that is the local opportunity. And at certain times in a year that basis opportunity will end up being clearly more than the carry opportunity especially in the corn market.
Farha Aslam – Stephens Inc: Thank you.
Operator: And the next question comes from the line Brett Lund, Piper Jaffray.
Brett Lund – Piper Jaffray: Good morning.
Mike Anderson: Hi, Brett.
Brett Lund – Piper Jaffray: Just quick question wondering in a quarter yet a lower utilization of the fleet. I was just wondering what that was?
Mike Anderson: We added about 1100 cars in the quarter and so some come with leases, some come with work to be done. So it’s a – I think it was relatively minor change in utilization. But that’s probably the impact right there.
Brett Lund – Piper Jaffray: Great. Thanks.
Operator: And this concludes the question-and-answer portion for today. I would now like to turn the call back to Mike Anderson for closing remarks.
Mike Anderson: I want to thank you all for joining us this morning. Also I want to mention for those that are interested that there are six appendix slides in this presentation available on the andersonsinc.com website at the investors tab under the third quarter earnings call replay. Our next conference call is scheduled for Thursday, February 7 at 11 am Eastern Time to review our full-year 2012 results. We hope you’re able to join us again at that time until then have a great day.
Operator: And ladies and gentlemen thank you again for your participation. This does conclude today’s conference call. You may now disconnect and again have a great day.